Executives: Sean D. McGuckin - Chief Financial Officer and Executive Vice-President Richard Earl Waugh - Chief Executive Officer, Director and Member of Executive & Risk Committee Robert H. Pitfield - Chief Risk Officer and Group Head  Brian J. Porter - President and Non-Independent Director Dieter W. Jentsch - Group Head of International Banking Anatol Von Hahn - Group Head of Canadian Banking Jeffrey C. Heath - Executive Vice President and Group Treasurer Christopher J. Hodgson - Group Head of Global Wealth Management J. Michael Durland - Group Head of Global Capital Markets and Co-Chief Executive Officer of Global Banking & Markets
Analysts: Steve Theriault - BofA Merrill Lynch, Research Division John Aiken - Barclays Capital, Research Division Gabriel Dechaine - Crédit Suisse AG, Research Division Peter D. Routledge - National Bank Financial, Inc., Research Division Robert Sedran - CIBC World Markets Inc., Research Division Michael Goldberg - Desjardins Securities Inc., Research Division John Reucassel - BMO Capital Markets Canada Sumit Malhotra - Macquarie Research Andre-Philippe Hardy - RBC Capital Markets, LLC, Research Division
Sean D. McGuckin: Good afternoon, and welcome to the presentation of Scotiabank's 2013 Third Quarter Results. I'm Sean McGuckin, Chief Financial Officer. Rick Waugh, our CEO, will lead off with the highlights of the quarter. Next, I will go over the financial results, including a review of business line performance. Rob Pitfield, our Chief Risk Officer, will then discuss credit quality and market risk. Rob will be followed by Brian Porter, our President, who will provide an outlook for each of our business lines for the remainder of 2013. We'll then be glad to take your questions. Also in the room with us to take your questions are Scotiabank's business line group heads. We have Anatol von Hahn from Canadian Banking; Dieter Jentsch from International Banking; Chris Hodgson from Global Wealth Management; and Mike Durland and Steve McDonald from Global Banking and Markets. As with prior calls, we also have joining us Sabi Marwah, Vice Chairman and Chief Operating Officer; Jeff Heath, our Group Treasurer; and Stephen Hart, our Chief Credit Officer. Before we start, I'd like to refer you to Slide #2 of our presentation, which contains Scotiabank's caution regarding forward-looking statements. Over to you, Rick.
Richard Earl Waugh: Thank you very much, Sean. Well, we are pleased to report a very good quarter and one that reflects the value of our diversified growing businesses, net income was almost $1.8 billion, diluted earnings per share were $1.37 for this quarter. However, this includes some non-recurring items Sean will discuss with you in detail later. Excluding these items, earnings per share was $1.30 this quarter, an increase of 12% from last year. Our return on equity remains strong at 17%. On a normalized basis, revenue grew by 12% from last year, driven by acquisitions and organic growth, with very solid results in Global Wealth Management and record results in Canadian Banking. The credit environment in all our businesses remain stable, as reflected in a lower loan loss ratio. Our capital is strong. This quarter, our Basel III all-in common equity Tier 1 ratio increased by 30 basis points to 8.9%. Given the sustainable growth, we also announced a dividend increase of $0.02 to a quarterly dividend of $0.62, bringing our 2013 paid dividends over 9% higher than last year. And finally, we fully expect to meet or exceed all of our 2013 financial targets. Looking at Slide 5, revenue and earnings growth this year has been strong. As you can see, 3 out of our 4 business lines had double-digit revenue growth. Canadian business performed exceptionally well and experienced broad-based revenue growth. Earnings were driven by the successful acquisition of ING DIRECT and by growth in auto loans and mortgages. Deposit growth also drove the performance. International Banking results were also driven by strong growth in Personal and Commercial Banking, particularly in Latin America. Acquisitions and a higher underlying contribution of associated corporations also contributed. Global Wealth Management also performed exceptionally well and benefited from improved equity markets and higher assets under management and assets under administration, coming from net mutual fund sales, particularly strong in our branch channel and our upgraded iTRADE platform. Our insurance business saw good sales growth. And finally, for the 9 months of the year, Global Banking and Markets saw good growth in lending and in fixed income. The general capital markets environment remains challenging. However, we are well positioned with respect to our wholesale business model. We have the necessary capital and talent, so no downsizing, as seen elsewhere in several other banks is required or planned. Looking forward to the end of the fiscal year, we expect to finish the year on a strong note and are very well positioned for good performance next year. I'd now like to specifically address 2 major areas that we have monitored closely due to external macro factors of concern. That's Canadian consumer debt and the volatility in emerging markets with respect to exchange rates and growth rates. As our results clearly demonstrate, our customers in Canada are behaving as expected. Growth is moderating, and all credit metrics, delinquency, formations and loan losses, are essentially flat to down. Canadian retail loan losses were just over $100 million in the third quarter, and in the context of our portfolio, this is very modest. All this is consistent with the soft landing we have been forecasting for housing, which included increase in interest rates. Regarding emerging markets, growth rates have, in general, moderated, but we still expect to achieve above average and increasing growth for next year, including now in the Caribbean, which has stabilized and is expected to move -- improve going forward. We do expect continued volatility in foreign exchange markets, as short-term global flows will still need to adjust to tapering and changes in official reserves. It's worth noting that our primary exposures are in select non-BRIC countries, which are expected to outperform the BRICs in the next few years. And our international earnings are anchored by local Personal and Commercial Banking and onshore wealth businesses. And these are driven by spreads and local demands for mortgages, autos, credit cards and insurance, which have and will continue to show above-average growth. Rob and Brian will provide more detail later on this. But now, I'll turn it over to you, Sean.
Sean D. McGuckin: Thanks, Rick. Slide 7 shows our key financial performance metrics for the quarter. This quarter, the bank's results include 3 non-recurring items: first is a gain on sale of a subsidiary by an associated corporation in Thailand, which amounted to $150 million after tax; in addition, there's a valuation adjustment on acquisition-related receivables in Puerto Rico of $40 million after tax; and finally, a restructuring charge related to our Uruguay operations of $20 million after-tax. All together, these 3 items provided a net after-tax benefit of $90 million to International Banking's earnings this quarter. The comparisons versus Q3 2012 were also adjusted for the gain on the sale of Scotia Plaza last year. Excluding these non-recurring items, diluted earnings per share were $1.30. This was 6% higher than the previous quarter and up 12% from the same period last year. Looking at year-over-year changes, Q3 earnings benefited from higher interest income, increased banking and wealth management fees, higher gains on investment securities and lower loan-loss provisions. These items were partly offset by higher operating expenses, lower trading revenues and a higher tax rate. Last year's results also included a gain on the sale of a nonstrategic leasing business in Canadian Banking. Moving to revenues on Slide 8. Revenue during the quarter was $5.6 billion. This was in line with last year. However, adjusting for the non-recurring items, revenue increased by 12%. Net interest income was driven by asset growth in Canadian mortgages, diversified loan growth internationally and a stable margin. The growth in non-interest revenues were driven by recent acquisitions, stronger wealth management revenues and higher net gains on investment securities, partly offset by lower trading revenues. Quarter-over-quarter, revenue was up 6% or 3% excluding the non-recurring item. Net interest income was up due to asset growth and improved margin and a longer quarter. Non-interest revenue was flat excluding the non-recurring items, as the longer quarter was offset by lower gains on investment securities and lower contributions from associated corporations. Turning to Slide 9. Non-interest expenses were up $366 million or 14% from last year. Excluding non-recurring items, expenses were up 11% or $292 million, of which $108 million was due to acquisitions. Underlying expense growth year-over-year was due primarily to higher remuneration expenses and an increase in pension and benefit costs due to the effect of the continued low rate environment. These were largely offset by lower stock-based compensation. Quarter-over-quarter, expenses were up 5% or 2% excluding the non-recurring items. The majority of the increase was due to the longer quarter and higher performance-based compensation in line with business performance. Excluding the non-recurring items and real estate gains last year, year-to-date operating leverage was positive 1.3%. We continue to expect to achieve positive operating leverage for the full year. Turning to capital on Slide 10. You can see that the bank continues to maintain a strong, high-quality capital position that is well above regulatory minimums. The Common Equity Tier 1 capital ratio increased by 30 basis points to 8.9% this quarter. The increase came from internally generated capital and stock issued under the dividend reinvestment plan. Risk-weighted assets were up modestly from last quarter, as an increase in credit risk-weighted assets was mostly offset by lower market risk-weighted assets. Turning to the business line results, beginning on Slide 11. Canadian Banking had a record quarter, with net income of $590 million, an increase of $70 million or 13% from a year earlier. Revenue growth was 11%. Excluding the impact of ING and the sale of the leasing business last year, revenue increased 6%. Organic asset growth was solid. There's a 6% increase in residential mortgage assets. There was also a 27% increase in consumer auto loans, driven mainly by new dealer and manufacturing relationships. Commercial lending assets grew 6% or 7% after adjusting for the sale of the leasing business last year. The total net interest margin declined 4 basis points due entirely to the acquisition of ING. Excluding ING, the margin was up slightly. Net fee and commission revenues decreased from the same quarter last year due to a reduction in card revenues, partly offset by growth in other categories, including higher fees to mutual fund sales. Loan-loss provisions were lower due to lower provisions in commercial portfolios. Quarter-over-quarter, revenue was up 3% as the longer quarter and good asset and deposit growth, as well as a higher margin, were partly offset by lower card revenues and lower gains on investment securities. Expenses were up 3% due mainly to the longer quarter. On a year-to-date basis, operating leverage was positive 0.7%. Moving to International Banking on Slide 12. International's earnings were $494 million this quarter, an increase of $102 million or 26% from last year. Excluding the 3 non-recurring items I previously mentioned, net income was up $12 million or 3%, driven by solid loan growth in Latin America and Asia, partly offset by higher loan-loss provisions and expenses. Year-over-year, revenues increased 18% or 7% on an underlying basis. Asset growth and higher fee income were partially offset by lower margin. Provisions for credit losses increased by $26 million to $194 million. Retail provisions were higher primarily in Mexico and Colombia, while commercial provisions were relatively flat. Expenses were up 16% or 9% excluding non-recurring items. Approximately 1/3 of this increase was due to the acquisition of Credito Familiar in Mexico, and the remainder was in line with inflation and business growth. Quarter-over-quarter, net income increased $75 million or 18%. Excluding non-recurring items, earnings were down $15 million or 4%, primarily due to unusually high gains on investment securities and higher income from associated corporations last quarter. Last quarter, we benefited from a gain on sale of securities in Mexico, which was in fact a recovery of a loan loss, amounting to approximately $30 million after-tax. Revenue was up 8%. However, excluding the non-recurring item, revenue was down $46 million, primarily due to lower underlying income from associated corporations and lower investment securities gains. Provisions for credit losses remained unchanged from last quarter. Moderately higher retail provisions in Mexico were offset by lower retail provisions elsewhere. The 6% increase in expenses was due entirely to the non-recurring items and foreign currency translation. On a year-to-date basis, operating leverage, excluding the non-recurring items this year, was positive 0.9%. Turning to Slide 13. Global Wealth Management reported earnings of $327 million, an increase of 18% from last year. Revenues increased year-over-year as a result of strong growth in mutual fund fees and higher brokerage revenues. Assets under management and assets under administration grew 24% and 14%, respectively. Of the total revenue, approximately 85% was attributable to wealth management and 15% to the insurance businesses. Expenses were up 21% from the same quarter last year, due mainly to higher volume-related expenses, acquisitions and a change in methodology with respect to Dynamic Funds administrative fees, which results in higher reported revenues and expenses. Quarter-over-quarter, net income increased $1 million, with revenues increasing 3%, mainly from higher mutual fund fees, the acquisition of AFP Horizonte in Peru and stronger brokerage revenues, partly offset by lower insurance revenues. Expenses were up 4%, primarily reflecting the AFP Horizonte acquisition, lower legal recoveries and volume-related growth. On a year-to-date basis, operating leverage was negative 2% due primarily to the change in the Dynamic Funds administration fees. Looking at Slide 14. Global Banking markets net income was down $11 million from a very strong quarter last year to $386 million this quarter. Improved performance in the lending business and higher underwriting fees were offset by ongoing market challenges in fixed income and commodities. Year-over-year, revenues increased 1%. Provisions for credit losses declined $4 million to $11 million this quarter. Expenses were up 5% over last year, reflecting higher salaries and benefits, technology costs and support costs, partially offset by lower performance-based compensation. Quarter-over-quarter, net income increased by $25 million or 7%, with increases in both investment banking and capital markets revenues. Expenses decreased 1% from last quarter due to lower remuneration expenses, partly offset by higher support costs. On a year-to-date basis, operating leverage was negative 1.9%. Now turning to the Other segment on Slide 15, which incorporates the results of Group Treasury, smaller operating units and certain corporate adjustments. The results primarily reflect the impact of asset liability management activities. The Other segment reported net loss of $94 million this quarter compared to net income of $414 million last year. Last year's Q3 included a $614 million after-tax gain on the sale of Scotia Plaza. Excluding this item, the net loss decreased by $106 million from the same period last year, mostly due to the $100 million increase in the collective allowance against performing loans last year. Quarter-over-quarter, the net loss decreased $25 million due to the impact of asset liability management activities. This concludes my review of our financial results. I will now turn it over to Rob who will discuss risk.
Robert H. Pitfield: Thanks, Sean. The risk in our credit portfolios continues to be well managed and overall credit quality remains strong. The overall loan loss ratio declined to 31 basis points this quarter. The provisions for credit losses was $314 million this quarter versus $402 million last year. However, last year's number included a $1 million increase in the collective allowance against performing loans. The credit risk in the Canadian residential mortgage portfolio remains benign, and customers continue to manage their finances as expected. The loss estimated for the real estate portfolio impacted by the Alberta flooding is not significant. In International Banking, retail provisions were higher in Mexico and Colombia, while our commercial provisions were stable. Net impaired loan formations were up $152 million to $478 million, partially due to the grading of loans related to the Banco Colpatria acquisition, in line with Scotiabank's credit policies. We do not expect further material formations resulting from this process as it is now mostly complete. Market risk remained low and well controlled. Our average 1-day all-bank VaR was $17.4 million, up from $16.8 million in the prior quarter. There were 3 trading losses in the quarter compared to 2 for the previous quarter. On Slide 18, we see the trends in provisions over the past 5 quarters. As you can see, Canadian retail provisions remained relatively stable. Quarter-over-quarter, a moderate increase in mortgage provisions, primarily relating to the flooding in Calgary, was more than offset by a lower than -- lower other retail provisions. Overall, portfolio quality remains extremely high, with 94% of our assets secured. Canadian commercial provisions decreased this quarter. From last quarter, international retail provisions were down slightly as moderately higher provisions in Mexico were more than offset by lower provisions in other geographies. Commercial provisions were up slightly and flat from last year. Global Banking and Markets had provisions for credit losses of $11 million this quarter compared to $12 million in the prior quarter. Slide 19 shows our Canadian Banking residential mortgage portfolio. Our total portfolio of residential retail mortgages is $189 billion. Our portfolio remains -- continues to be approximately 90% freehold and 10% condo. As you can see from the slide, approximately 56% of the portfolio is insured and 44% is uninsured. The uninsured portion has an average loan-to-value ratio of approximately 56%. While we continue to believe that the Canadian housing market generally remains stable, there may be some softness in Canadian housing market prices in the short term. Credit quality and performance of the residential portfolio remains strong. Our disciplined and consistent underwriting standards through all of our origination channels have resulted in extremely low loan losses and again have been stressed under many severe assumptions, which confirm the appropriateness of our risk appetite. To summarize, our asset quality remains high, with both the retail and commercial portfolios performing as expected and our corporate portfolios continuing to demonstrate strength. As we've mentioned in the past, a combination of growth in portfolios, changes in product mix and acquisitions will result in somewhat higher provisions for the full year as compared to 2012. We have been seeing this trend as we have progressed through 3 quarters of the fiscal year. For the balance of the year, we expect the Canadian retail provisions to remain stable, though commercial provisions were unusually low this quarter. International retail provisions are expected to rise in line with loan growth and normal post-acquisition run rates. That concludes my remarks. And I'll now turn it over to Brian. Brian?
Brian J. Porter: Thanks, Rob. Let me start by saying that we continue to be very pleased with how our business model is producing balanced results. As you know, our overall strategy calls for effective diversification across our 4 business lines and further diversification within the business lines. In addition, each of our business lines effectively balances the need to invest for future growth and manage costs prudently. As a result, we have positive operating leverage year-to-date. So now let me touch on the outlooks for each of our business lines, beginning with Canadian Banking. We expect to finish the year with solid asset and deposit growth, each of our core businesses will continue to perform well. Asset growth in automotive finance and residential mortgages was strong in Q3, and we see that continuing in Q4. Our Commercial Banking pipeline remains strong. In deposits and payments, we continue to see positive results. By leveraging innovative products, such as our SCENE debit card and the Scotiabank AMEX cards, we remain confident about our ability to deliver solid growth in these businesses. In mutual funds, we've experienced strong year-to-date growth and we have also continued to gain market share. Overall, we expect to see strong whole year growth. And turning to ING, we also expect solid results for the balance of the year. We expect our margin to remain stable as favorable changes in product mix continue to help offset competitive pricing pressures. Turning to PCLs, we expect retail increases to be in line with asset growth and we expect our loan loss ratio to remain relatively constant. We also expect commercial PCLs to remain stable. We expect expenses to increase somewhat in Q4, reflecting seasonal patterns and our investments for future growth. Overall, we expect to see solid results for the balance of the year in Canadian Banking. Moving to International Banking. The impact of moderating growth in China, lower commodity prices, weaker currencies and more recently, the uncertainty around the tapering of the U.S. Quantitative Easing program, has resulted in somewhat lower growth expectations for Latin America and Asia. Nevertheless, our Retail Banking segment continues to have momentum, with solid performance expected in Latin America. We have experienced positive results from our premium banking launch, which is targeted at the mass affluent segment in Latin America and the Caribbean. We are also seeing strong returns from various initiatives to improve productivity in our branches. For our commercial businesses, our pipeline is healthy. In particular, the prospects are solid for Latin America and we are seeing continued momentum in Asia, particularly in our trade finance volumes and deposits. We expect PCLs to rise modestly, reflecting growth in our portfolios. With regards to margin, a number of factors have contributed to the pressure we have been experiencing, including more local competition and evolving regulatory standards such as legislative changes in Peru, which have affected the margin on credit cards. We continue to see strong growth in lower yielding, lower risk assets in Asia and a moderation of growth in Latin America. Looking forward, government regulatory changes and competitive pressures should be stable. As a result, we expect our margins to stabilize. While we continue to manage through a volatile and uncertain macro environment – macroeconomic environment, our outlook remains stable for the balance of the year. In Global Wealth Management, our outlook is good, for good underlying growth across our key businesses. Global Asset Management continues to grow, driven by a solid base of AUM and AUA and strong domestic and international revenues. Net sales of ScotiaFunds reached a record $2.8 billion over the first 3 quarters of 2013, with ScotiaFunds experiencing the strongest rate of AUM growth among Canadian banks, both year-over-year and quarter-over-quarter. In wealth distribution, strong cross-sell among our Canadian advisory and Private Banking channels is reinforcing business growth. Internationally, the AFP Horizonte integration with Profuturo in Peru is progressing as planned and will significantly increase our market share in this important business.Looking ahead, we will continue to drive value from recent acquisitions to sustain growth momentum and increase scale in Latin America. The outlook for our Canadian insurance business remains stable, with ongoing product enhancements and customer retention programs driving a growing client base. Internationally, our focus in insurance remains on improving cross-sell and expanding our non-creditor business. In Global Transaction Banking, our outlook calls for more Basel III-friendly deposit products, enhanced cross-border payments capabilities and an expansion of our commodity trade finance capabilities across all our geographies. Lastly, we will be hosting an Investor Day here in Toronto focusing on our Global Wealth and Insurance businesses on September 25. We hope that many of you will be able to join us. The Investor Day will also be available via live webcast. Moving to Global Banking and Markets. We expect continued good performance across our wholesale businesses. Economic uncertainty persists, and this will continue to impact client activity. However, our business mix and our focus on cross-sell is expected to mitigate some of these factors. The business pipeline for the next quarter is solid and should allow us to experience continued good performance. The corporate loan portfolio is expected to show moderate growth, with loan spreads remaining stable. The credit quality of our loan portfolio remains strong, and loan loss provisions are expected to remain modest. In summary, as Rick mentioned earlier, we have progressed well through 3 quarters of the year and anticipate meeting or exceeding our financial targets for 2013. I'll now turn it back to Sean.
Sean D. McGuckin: Thanks, Brian. That concludes our prepared remarks. We'll now be pleased to take your questions. [Operator Instructions] Operator, can we have the first question on the phone, please?
Operator: Your first question comes from Steve Theriault from Bank of America Merrill Lynch.
Steve Theriault - BofA Merrill Lynch, Research Division: Just wanted to follow up first on Brian's comments, and maybe for Dieter. Dieter, Brian mentioned potential changes to cards and rate caps. Can you give us a little color on that? Is that -- that's within the consumer finance business in Peru, is it?
Dieter W. Jentsch: Yes, that occurred in our quarter where we had the regulator and consumer protection group combined to limit our fees that we can charge for the various card products. We were able to increase our rate but not sufficient enough to overcome the reduction in fees.
Steve Theriault - BofA Merrill Lynch, Research Division: So the control is on fees, not on rates?
Dieter W. Jentsch: That's correct.
Steve Theriault - BofA Merrill Lynch, Research Division: Okay. And if I might, for Sean, in your corporate and other segment, you mentioned ALM activities as a positive quarter-on-quarter and year-on-year. So is that primarily the absolute effect of a steeper curve in the quarter, or does it reflect where you're taking risk, or is it something else? And can you help size this -- size that for us at all?
Sean D. McGuckin: Yes, there's a few different elements there. One benefit that we're starting to see is as some of the oldest subordinated debt runs off and gets replaced with cheaper debt, that reduces our funding costs, and that resides in that Other segment. There's slightly higher prepayment fees, which also end up in the Other segment rather than in the business line. So those are some of the factors that are driving that net benefit in the Other segment.
Steve Theriault - BofA Merrill Lynch, Research Division: Can you size it relative to what you might consider normal?
Sean D. McGuckin: It is a bit lower -- it is a bit better this quarter than what we've seen in the past quarters. In terms of sizing it, it would be hard to say, but I would expect next quarter to be maybe somewhat closer to somewhere in between last quarter and this quarter's number.
Operator: Your next question comes from John Aiken from Barclays.
John Aiken - Barclays Capital, Research Division: Dieter, we're – on the term -- or at least the outlook for the Caribbean has it a bit of an inflection point. Can you let us know whether that's retail or commercial or both? And then what, I guess, your midterm expectations are for Mexico going forward?
Dieter W. Jentsch: Well, first, on the Caribbean, it would be predominantly in the retail book. We've managed to stabilize and increase the margin by a focus on our deposits and focus on our core premium banking offering, so we've seen some positive growth in the Caribbean retail assets in Q3 and have single-digit expectations for retail going forward. With regard to Mexico, Mexico continues structurally not to benefit from some of the optimism that we had shown earlier. But that seems to be coming together going forward in Q4 and first part 2014 as some of the government programs take hold, and we anticipate to be very optimistic about growth in Mexico going forward, especially as the United States continues its recovery.
Operator: Your next question comes from Gabriel Dechaine from Crédit Suisse.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Dieter, well, I got your attention there. Just on PCL in international, it looks like it stabilized at least sequentially. Do you think that's kind of a steady as she goes from now on, and all else equal, we'll see like a $60 million-ish pickup next year because the credit mark on Colpatria is expiring? I think that's some of the guidance you gave at the...
Dieter W. Jentsch: I'll start and maybe hand it over to Rob. What we've done in the last couple years is enhance our coverage ratios, but we've increased our coverage ratio so now we're sitting well north of 60%, up from high 30s before. So we're very positive about increasing our allowances with what we've done. The underlying quality of the asset book continues to show well. Our delinquents are moderate to declining. And at the same time, what we've done is we've doubled down on our collection platform, not only in terms of some of the reward for performance in terms of individuals but also process improvements. And that will continue to show positive impact going forward. Rob, I don't know if you have anything else to add.
Robert H. Pitfield: Yes, we anticipate normal growth rates in PCLs, nothing untoward. It'll be partly because of normalized post-acquisition run rates and partly natural growth in the portfolio and partly as a result of the strength of the portfolios that we see in the consumer finance side. So very much within expectations.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Okay. But like we're kind of -- I'm getting the sense of a steady-state now but we might – like there's like acquisition benefit that's going away next year, I just wanted to confirm that.
Dieter W. Jentsch: We don't see a great impact in the retail PCLs going forward. There was moderate increase in the commercial PCLs as some of the PPE impact in Colombia starts to come off.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Okay. And then second question is for Anatol. On the -- just want to drill down on the credit card business here. Some comments you've made and other Scotia people in the past, it's like the credit card business is something you want to embrace more closely than you have in the past, maybe left some money on the table. Given the disruption with Aeroplan on the horizon, I'm just wondering what plans you've got in place to pursue an opportunity there. How much is a credit card customer worth to you? Like what kind of investment do you make in acquiring a customer? If you can give me some guidance there, that'll be helpful.
Anatol Von Hahn: Okay. Let me just talk first in terms of the credit cards business. If you look at -- and I think we've discussed this in the past, if you look at where we were, say, 2 years ago to where we are, we've put a lot of emphasis into the credit card business. And I think it's done very, very well. Brian referred to the AMEX card as one. That has been a tremendous success for us, particularly in a segment that's the travel segment. So that has shown very good growth, very good new customer acquisition and also exceptional cross-sell to existing customers. And that's something we expect to continue. So in reference to what you're saying in terms of the marketplace, that's a business that if you look forward we think will continue to grow. In terms of the value of a customer and particularly in the credit card business, that's very hard to answer because we really aren't looking for a 1-product customer, we're looking for relationships, of which credit cards is one part of it. We do acquire customers, though, through different channels: one, through our branch channel; two, through our indirect channel. But most of our business is done in terms of cross-selling with credit cards.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Let's say the customer has a checking account with you, you're willing to pay more to acquire that one? And would you target more of a spender or somebody that carries a big balance? I'm just conceptually trying to...
Anatol Von Hahn: No, if you look at our credit card portfolio, it is very much about the turnover that goes on in the credit card. It's not about borrowing and leaving large borrowings on the credit cards. It is about spenders. And if you look at our credit card -- different credit card offerings, we have different cards for different niches. But it's not that we're paying a customer, if they already have a checking, we're not paying to get them. What we're doing is we're servicing their needs, including the payment needs, of which credit cards is one part of it.
Operator: Your next question comes from Peter Routledge from National Bank.
Peter D. Routledge - National Bank Financial, Inc., Research Division: I guess, another question for Dieter. It seems like, if I look at International Banking, just year-over-year, operating ratio excluding the one-timers this quarter, look negative to me. Efficiency seems a little high by Scotiabank's standards. And I'm going to guess part of the explanation is the bank's done a lot of acquisitions, and it's just going to take a while to build in the Scotiabank cost culture everywhere you've acquired. So I guess the question for you is what sort of opportunities do you see in terms of cost reduction in International Banking to really just take out big chunks of cost? And how long will that take to build?
Dieter W. Jentsch: Peter, I would just work on the first point that you mentioned. If you look at our -- subtract the notable items that we incurred this quarter as well as adjust for what Sean mentioned relating to Credit Familiar and FX, our underlying expenses year-over-year increased 5%, which is generally in line with inflation in most of our markets. And on a quarterly basis, our expense growth adjusted for FX and notable items was in fact flat to down. So we've been watching our expenses closely in line what's happening with – in some of the areas -- other areas of our business. But as -- you're right, as you move forward and some of your integrations are becoming close to completion, there's -- incumbent upon the business taking a look where the structural cost efficiencies may reside, and we're looking at that going forward for 2014.
Peter D. Routledge - National Bank Financial, Inc., Research Division: Just is that hard to do? I mean, the bank has typically been pretty good about managing foreign subs by leaving day-to-day business decisions to people in the market. Will it be hard to -- is it going to be hard to sort of move into those businesses and start making operating suggestions?
Dieter W. Jentsch: I believe we run our shared services model on an international basis and we look at it on a complete picture in all our countries and in all our various processes and expenses occurring in those countries and where they are benchmarked relative to their peers within country and where they rank relative to themselves within our portfolio. And there's an understanding of our country heads that we need to watch our expenses and look for structural cost efficiencies going forward.
Peter D. Routledge - National Bank Financial, Inc., Research Division: Okay. Is there a central effort to push that or is it basically...
Dieter W. Jentsch: We always have a central governance oversight of our operating countries from Toronto.
Peter D. Routledge - National Bank Financial, Inc., Research Division: Okay. And then quick one for Anatol. There's news about NHA MBS rationing, you've got the prospect of bail-in debt coming next year maybe. Is it going to be more expensive to fund mortgages going forward? I mean, assume that yield curve doesn't change, it just freezes where it is today. Does your cost of funding mortgage rise over the next year?
Anatol Von Hahn: Yes. I'll ask Jeff Heath to pipe in as the treasury expert.
Jeffrey C. Heath: So Peter, I think on dealing with NHA MBS, first, I mean, I think at this point, we don't have a lot of information about the future. You all know what was announced as a short-term measure by CMHC. But without knowing the size of the cap and how it will be allocated in the future, long-term impact is really hard to gauge at this point. My view in the near term is that the impact is not material. NHA MBS is a pure funding, it's relatively modest, in our case, in the overall scheme of things, and roughly comparable to the cost of covered bonds as another alternative.
Peter D. Routledge - National Bank Financial, Inc., Research Division: What about bail-in debt, any concerns about funding cost there?
Jeffrey C. Heath: Well, again, I think the issue on bail in, as you're aware, was mentioned in the budget. At this point, we have very little information, the design government has in mind has not been fleshed out and communicated. Not a lot of information, but my view is that recognizing that, that's more of a resolution issue, i.e., kind of a tail event. I don't think it's likely to have any significant impact on our funding.
Operator: Your next question comes from Robert Sedran from CIBC World Markets.
Robert Sedran - CIBC World Markets Inc., Research Division: I'd just like to try to tie together some of the various comments about the outlook for the international segment. So high teens in Latin America seem to be one of the messages from the January investor conference in terms of earnings growth rate. It sounds like you don't really see that for 2014. So first of all, is that a fair comment? And second of all, when you -- a more positive outlook for the Caribbean, it sounds like a more positive outlook for Mexico. Would those be enough to, say, offset a more tepid view of South America in the next 12 to 18 months?
Dieter W. Jentsch: Well, I'll just -- I'll take a shot at what you brought forward here. We look forward to LatAm to continue to grow at low double-digit growth. We've had great year-to-date growth in Latin America. For instance, in LatAm, our retail growth grew 18% year-over-year and commercial grew 13%. Our pipeline continues to look strong on a year-over-year basis, and the projected economies in these countries, Chile, Peru and Colombia, are expected to grow between 4% and 5.5%. So they continue, notwithstanding some of the world events, to have a positive outlook. We anticipate that the economy continues to strengthen as the United States starts to move forward in 2014 and that'll have positive impact not only on Mexico but on Colombia, as well as the Caribbean. So perhaps some moderating but still some very positive growth in the countries that we're resident in.
Robert Sedran - CIBC World Markets Inc., Research Division: So Dieter, just to follow up. Is it fair to say that some of the noise or the movement in the markets is much less important than what's actually going on, on the ground and you're still optimistic for what you see on the ground today?
Dieter W. Jentsch: We're still optimistic on what we see today.
Sean D. McGuckin: Just -- this is Sean. Just a point of clarity. I don't think we said that earnings would grow high double digits at the offsite. We were guiding about asset growth in the low to mid double digits at the time. So we're quite comfortable that, as Dieter said, the economic outlook is still quite positive for the various markets we're in, somewhat moderated compared to 2012. But we expect a bit more pickup in the economic outlook next year versus this year.
Operator: Your next question comes from Michael Goldberg from Desjardins Securities.
Michael Goldberg - Desjardins Securities Inc., Research Division: I'm looking at the Page 19 of your supplemental, and $167 million of gross formations in international commercial. How much of that was the rerated loans in Colpatria?
Robert H. Pitfield: A significant chunk of that, Michael, the vast majority of it.
Sean D. McGuckin: It's about $100 million.
Michael Goldberg - Desjardins Securities Inc., Research Division: About $100 million?
Sean D. McGuckin: Yes.
Michael Goldberg - Desjardins Securities Inc., Research Division: Okay. And secondly, any update on possible new product launches in ING or geographic expansion?
Anatol Von Hahn: Let me touch that. So firstly, in terms of -- I'd say more than just the product, in terms of the steps that I think you'll see us take, first, as you know, we have a period of time in which we will be re-branding. And that will take place within the first 3 to 4 months of the calendar 2014. With that, I think you can expect that we will continue in ING to do the type of product sales that you just saw during the course of the late spring and the early summer. So it's business as usual. And I think as you look at us in the re-branding, we will continue to target expanding business as we've done in the last few months. So I think that's as much as we can go. There are always plans in terms of launching products, but that's part of the regular course of business. Very much focused in terms of both savings and the direct banking model.
Michael Goldberg - Desjardins Securities Inc., Research Division: Well, one product that's been talked about as a possibility is a card.
Anatol Von Hahn: Yes, and that continues to be a possibility.
Operator: Your next question comes from John Reucassel from BMO.
John Reucassel - BMO Capital Markets Canada: Just maybe I'll give Dieter a break and talk to Chris. Chris, I just -- I'm looking at the Page 6 of the Global Wealth, and I noticed the AUA and the AUM is flat to down from the second quarter. So could you explain to me, is that just FX? Or what is going on there? I know you had good inflows at Scotia, but is it different at DundeeWealth? Or could you just give us some update there?
Christopher J. Hodgson: Sure. Yes, John, in the AUA, we were down about $2 billion in AUA on the quarter, and that is largely from a sub-custodial account that we earned very little fees on and it moved away from us, so not a significant piece of business and it was a large part of that drop in AUA. Overall, though, we've pretty well remained flat. And on the AUM, we have done very well in the ScotiaFunds channel, as was mentioned in some of the comments. We have had some redemptions in the dynamic side. But the dynamic AUM has been holding flat at about $39 billion over the course of the last while, based on our product mix. So overall, we've done very well in the ScotiaFunds side. We gained market share there, but we have lost a bit of market share on the advisory side, third-party advisory, which is not unique to that channel. A lot of the other independents have lost to the bank side also.
John Reucassel - BMO Capital Markets Canada: Okay. And then could you just give us an update, maybe a progress on cross-selling creditor insurance on new mortgage? I know you want to increase your penetration. And then you mentioned cross-selling -- I think I got this right, on non-creditor international insurance. Just remind me what that means as well?
Christopher J. Hodgson: Sure. On the creditor side, a number of years ago, we were significantly below the industry average in terms of selling against our mortgage book. And over the last few years, we've increased our penetration through the retail branch channel to industry average. So we're now at a rate of about 77%, which is in and around industry. We expect to continue to see that grow over the course of the next few years even though the mortgage volumes are slowing down. We also believe that in terms of certain regions, we have an opportunity to grow in parts of Canada where we've been a little bit slower. But that's the work that's being done through Anatol and his group. The other thing I would say on that front is when we bought the Maple book of business a number of years ago, we had very low cross penetration in that in terms of creditor insurance. And we've grown that now from 12% about 4 or 5 years ago to about 45%. So we see significant continued growth through that broker channel. In terms of international, we still do see some opportunity to grow the creditor book of business in different markets. And I would just add on that comment earlier about the International business and growth rates, the insurance business is an important contributor to earnings growth in a number of the markets. And in particular, we expect insurance to grow at significant rates in markets like Peru and Colombia and, certainly, Mexico, which is an area where we think we've got great opportunity. So beyond that, John, we're looking at some non-creditor. There's optional products which is not really an insurance product that we will look at selling in different markets, but we're still very active on the creditor side.
Operator: Your next question comes from Sumit Malhotra from Macquarie Capital Markets.
Sumit Malhotra - Macquarie Research: Two-parter on international to start. Part A of that is net interest margin and what we're seeing in loan yields. In some of the key geographies you operate in, in international, we've seen some pretty sizable increases in bond yields over the course of the last few months. And in the segment, we see margin down 10 basis points. So Dieter, can you walk me through how increases in long bond yields in some of your key geographies make their way into the margin of BNS? Because I realize there might be some differences relative to what we see in your Canadian business?
Dieter W. Jentsch: I mean if you look overall in International business, we're off about 10 to 11 basis points in margin, which impacted us about $23 million in net income after-tax. And what we see happening -- and that's -- there's 3 -- 2 main drivers, quite frankly, that occur. And one is the usual competitive pressures and liquidity in some markets. But we've also seen, what I would call an asset reallocation of where growth is coming from, where in Peru, we've had more moderating growth in our higher margin business. But we've had more growth, higher growth rates in our lower margin business in Asia. So that takes about 2/3, if you want to call it asset reallocation, 2/3 of our NIM pressure is from asset allocation between geographies. And then within geographies, and again, in Peru, this quarter, you saw the growth occurring in some of the lower margin products in the automobile business and in the mortgage business rather than in the credit card and the microconsumer finance business. So some asset reallocation between geographies and within geographies. But we haven't seen the significant increase in bond yields directly impact our pricing on our credit yet.
Sumit Malhotra - Macquarie Research: Yet makes it sound like it's something we can...
Dieter W. Jentsch: Right. It may or may not happen, we just have not seen it happen yet.
Sumit Malhotra - Macquarie Research: Okay. And Part B of that first question was just a clarification that you provided for us in the past. Obviously, with some significant volatility in foreign exchange rates in the quarter, this might be more for Sean. Would you be able to provide us, as you have in the past, the quarter-over-quarter, what I'll call, core growth rate in both your consumer and commercial portfolios in international?
Sean D. McGuckin: You're talking about volume growth?
Sumit Malhotra - Macquarie Research: Yes, please.
Sean D. McGuckin: Yes, we've -- on the slide deck, we do a year-to-date. We like to look at a whole year comparison, but on the quarter, it has slowed somewhat, I think both retail and commercial up 1% to 2% on the quarter.
Sumit Malhotra - Macquarie Research: So the number that we see in the supplement, even with the FX volatility, isn't too different from what you would consider core?
Sean D. McGuckin: Right.
Sumit Malhotra - Macquarie Research: Okay. And my second question, last question, is for either Rick or Brian. Since we last spoke at the Q2 results, the bank made the decision official, it was announced that you would not be pursuing the stake in Bank of Guangzhou. That frees up, by my math, 25 to 30 basis points of Basel III capital on your ratio. Since that time, there's been a lot more talk about leverage ratios and what might be the next step of Basel III. You've also talked about the fact in some statements that the bank would more likely -- correct me if I'm wrong here, would put more emphasis in the near term on organic growth rather than acquisitive. The decision -- the capital saved from that deal, is it likely that you use it to build your buffer for whatever the next stage of capital standards may be or does this give you some more firepower to look at another acquisition in Guangzhou's place?
Richard Earl Waugh: Well, Sumit, your number in terms of capital is bang on, it's about 28 basis points. So between 25 and 30, obviously. It provides us a flexibility going forward. I was asked on 2 calls ago in terms of where we thought we'd end up in terms of capital going forward, what we thought the number would be. My number then was 8.5 to 9. Having said that, there's a lot of discussion about the leverage ratio. And we need some clarity from OSFI in terms of where we are going to be in Canada in terms of leverage ratio. So it provides us some flexibility. As you've heard from the questions around the table today, we're focused on a variety of organic growth initiatives throughout the bank, and we've got a lot of them. And we'll look at acquisitions selectively as they come up and on the basis that they're on strategy and make sense.
Operator: Your next question comes from Andre Hardy from RBC Capital Markets.
Andre-Philippe Hardy - RBC Capital Markets, LLC, Research Division: My question is for Mike Durland. On Page 30 in the explanation for the sequential increase in global capital markets revenues, you note higher commodities, fixed income and FX revenues. I'm a little curious to see a comment about better fixed income, trading revenues given a pretty severe backup in both rates and spreads back in June. So can you please help me understand what went well in your business, in the context of what appeared to me to be a difficult environment?
J. Michael Durland: Yes, sure. I mean, I think overall, we were quite happy with the quarter. Obviously, there was quite considerable volatility as a result of the news from the Fed. One thing I will say is that, as you know, probably, we've been thinking about this and talking about it for quite a while, so it was something that we were prepared for. And we are positioned relatively close to shore and that helped us. And when you have volatility like this, I mean, it can be -- you can do a little better than you expect, you can do a little worse than you expect or you can kind of do what we did, which was a decent quarter, so we're pretty happy about that. And there are only 3 negative trading days versus 2 last quarter. So I think a lot of it just had to do with the way we're set up.
Sean D. McGuckin: All right. I think that was the last question. So thank you, all, for listening in, and we'll talk to you next quarter.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for participating. You may now disconnect your lines.